Operator: Good morning, ladies and gentlemen, and a warm welcome to the Mayr-Melnhof Karton AG conference call. [Operator Instructions] Please note also that this conference will be recorded. Let me now turn the floor over to your host, Stephan Sweerts-Sporck.
Stephan Sweerts-Sporck: Good morning, and welcome on the part of MM. It's a great pleasure to have you joining this Q&A conference call on our '24 annual results, which we released just this morning. Besides the press release, a video statement of our Management Board, CEO, CFO, has been published on our website, mm.group. In this call, we want to provide you now with the possibility to direct questions on today's communication to our CEO, Peter Oswald, and our CFO, Franz Hiesinger. Since this call addresses an international audience, we would very much appreciate your questions to be asked in English in the following Q&A session. Before we go for that, Peter, may I ask you to start with a short summary of our key messages.
Peter Oswald: Yes. Thank you, Stephan, and welcome, everyone. I assume you've all read our announcement, and therefore, I just want to summarize the key points before we then go to the formal Q&A session. '24 was a challenging year for the whole industry. And it's -- I'm very pleased to say that we've made significant progress by focusing on self-help. In our Food and Premium Packaging division, we've again achieved market-leading returns, and we could show at least some volume growth. In Pharma and Healthcare Packaging, we are now halfway through the successful turnaround of the former Essentra Packaging business. We have picked the low-hanging fruits and now we have to advance the division towards MM's market-leading operational standards. And here, we are well underway, but equally, we have significant further potential. At MM Board and Paper, we have made good progress in terms of volumes, which were up by about 17%. However, the results were flat compared to last year, however, with a positive tendency if you look at the quarterly development. Importantly, looking to the whole group, we have reduced our net debt and have now a strong cash cushion. We have made great progress in sustainability, reducing our CO2 emissions significantly. We have also in tough times, and this, I think, sets us apart from some other participants in the industry, increased our training and development intensity, and we've strengthened our management teams with a particular focus on technological knowledge. And I want to use this opportunity to thank our employees for their great contribution. We will propose a dividend increase of 20% to EUR 1.80 per share, in line with the net profit increase. We have launched a share buyback program at the beginning of this year. And as per yesterday, we have successfully repurchased more than 350,000 shares, which represents 1.7% of all outstanding shares. And as we've announced in December, we signed an agreement to sell our TANN business, as tipping paper had limited or no synergies with our packaging operations, and this will be closed in the second quarter. So what is the outlook for '25? Of course, always with the caveat that we -- it's impossible to predict the future in any way. So what we see at the beginning of the year is a flat order intake in both packaging divisions and a slightly increased order intake in board and paper. Prices show a very heterogeneous picture with some prices increasing, some decreasing, but overall marginally increasing. In recycled cartonboard, we have the positive news that a small mill will be closed down during this year, which will somehow improve the supply-demand balance. Unfortunately, in virgin cartonboard, we see the start-up of a new mill, also a closure of the mill, but a much smaller mill. And so here, we will see even more overcapacity going forward. Now looking ahead, we will again concentrate on self-help, and we will do whatever it takes to improve our long-term profitability. CapEx in '24 was at a surprisingly low level. We had indicated a higher number. Some of that was obviously a roll over to this year. And so we expect for this year a CapEx of around EUR 300 million. So we are -- we will continue to invest in our business in order to increase our competitiveness. Yes, and with this brief summary, it's now your turn. And Franz Hiesinger and myself, we are looking forward to your questions. Thank you.
Operator: [Operator Instructions] So the first question is from Richard Phelan of Deutsche Bank AG.
Richard Phelan: Just a specific question on WLC markets. I know that a price increase was attempted on January 1. Could you give us an update in terms of where the pricing environment stands, especially in light of a major competitors' closure announcement in Spain?
Peter Oswald: Yes. So we got part of the announced price increase. So we have gone for EUR 50. We've achieved all of that, but a significant part, our competitors did not follow. But we basically don't see an erosion of our market share because our products are better, and I think the market has expected some increase.
Richard Phelan: Great. And so has the closure accelerated the ability to implement more of the price increases through the year? Is that sort of the direction of travel?
Peter Oswald: Yes, it should have a positive impact. What is a bit strange about this announcement is that it was announced for the end of this year. So we see some customers changing to us, but one has to be very careful. This competitor has announced once already another closure. So you never know whether it’s really executed. So we’ll wait and see if the closure really happens. And again, it’s a bit strange because it doesn’t take normally 11 months to execute the closure.
Operator: The next question is from Mark Watts of Citi.
Mark Watts: Just one question on market consolidation. As we understand it, there's perhaps obviously quite a lot of pricing pressure. Do you envisage any kind of the smaller players potentially falling into trouble? Would you consider -- or have you heard anything here? And would you consider potentially looking to acquire those competitors, I guess, mainly more in Southern Europe? Is that something that you're looking at?
Peter Oswald: So I think it's -- we have to differentiate between our board mills and our converting plants. As for board mills, there are some small competitors where it's very difficult to understand how they continue, but some of them might have very specific niches. In the board area, I think we would not touch the smaller mills. On the packaging side, we are open-minded. We also see some bankruptcies. And of course, we look if there is any value for us customer relations know-how, machinery, which would make sense to be taken over. But I think the -- as it looks in the European landscape, the typical owners seem to be very optimistic people who always wait for the big jump in sales the very next day. And so probably the past time of waiting for some people to make these decisions is still outstanding.
Mark Watts: Got it. And can I ask on capacity utilizations on the board and paper side? What are you running at kind of now maybe versus the end of the year? Or where do you envisage you will be given...
Peter Oswald: Yes. We are now at roughly 90%.
Mark Watts: Roughly 90%? Okay. And then the other one, I guess, is just on the Board and Paper side. I kind of see a little bit of a reduction in free cash flow year-on-year. It looks like kind of a bigger decline on the cash flow from operating activities. So is this mainly working capital driven given that you did report a sizable increase in EBITDA? Or how would you kind of explain the kind of the weaker year-on-year comparable for operating free cash flow?
Peter Oswald: Yes, you are right. It's, I would say, exclusively -- almost exclusively a working capital reduction where we simply had a bigger scope in, let's call it, the first year of crisis than in the second year.
Mark Watts: Okay. So it's not sort of a sign of destocking, it's rebalancing or how -- what was actually the driver of the inventory...
Peter Oswald: Yes. I mean one driver was factoring and the other driver that we systematically reduced inventories for all sorts of industry inventories from raw material to finished goods, intermediate materials. I think that was a big focus. Another focus was to cut some receivables, so the terms with our customers. And the third leg was -- as I said, was factoring.
Mark Watts: Got it. And sorry, one last one, if I could, just regionally, how you're seeing kind of the Italian market versus maybe German, like any kind of discernible differences in demand or on the customer side?
Peter Oswald: We see probably in Italy – so the Italian market is typically an even more competitive market in terms of somewhat lower prices, also some more input pressure from – for instance, from Turkey, if one refers now to the WLC market. So there is a gradual difference, but equally not a big difference.
Operator: The next question is from Michael Marschallinger of Erste Group.
Michael Marschallinger: First question on Board and Paper, fourth quarter EBIT back to positive. You said this is mostly to the higher CO2 compensation, one-offs. Could you give us a number around this payments? Or let's say, will you be EBIT positive in the quarter without this effect?
Peter Oswald: Yes. I mean we see actually a very smooth development, if one disregards the -- or spreads, however, you want to take it the annual shutdowns, which we had in the third quarter. So we were more or less breakeven, plus EUR 2 million in the second quarter. In the third quarter, it shows EUR 20 million. However, if you -- our costs were, I think, around EUR 24 million, EUR 25 million for the shutdown. So if you excluded that, it would be plus EUR 4 million, and now it was EUR 11 million. And yes, we were -- we got somewhat higher CO2 credits or we booked them, so to say, in the fourth quarter, which also helped. So there is a positive underlying trend. However, I would also not overstate it because the issue of prices is still pending.
Michael Marschallinger: Okay. Understood. Then a follow-up to the question on the market consolidation. You talked about the overcapacities in the market. And what would be your best guess when this will resolve itself?
Peter Oswald: Sorry to ask -- so what is the extent of the overcapacity? Is that your question?
Michael Marschallinger: Yes. How long do you think the market will take time to absorb this capacity?
Peter Oswald: Yes. I think we have an overcapacity in FBB of around 1 million tonnes and in WLC of around, whatever, 300,000, 400,000 tonnes. And it's very difficult to judge when some of the weaker players will decide to leave. I mean, I always expect it -- sooner than it really happens because, as I said before, this industry, there are a lot of visionaries who see the big market increase around the corner and wait for this. The question then often becomes if they can afford to do it. So I think during this year, I do expect some overcapacity reduction.
Michael Marschallinger: Okay. Understood. And last one on Pharma and Healthcare. In the statement, you said you are halfway through restructuring, et cetera. So when do you assume this restructuring will be finished? Will this be already in H1? Can you assume already some margin improvement throughout the year? Or what's your time line on this restructuring measures?
Peter Oswald: It’s overall – when we acquired it, we had a time line of 4 years. So 2 years are gone and 2 more years will be needed. If you ask the question why so long, I mean there were some low-hanging fruits, which we picked very quickly, and that went ahead of expectations in ‘23. Now that we really have to improve the underlying business, it’s about qualification of people. We had to install new more modern machines and just to order the machines took more than a year. And then you need to install them, then you need to train the people and there are start-up curves, et cetera. That’s basically what we have seen in ‘24. So we expect steady progress both in ‘25 and in ‘26 towards a profitability level, which is at the level of our Food and Premium Packaging business. And hopefully then – but we will see once we are there, we can make it even more profitable.
Operator: [Operator Instructions] the next question is from Markus Remis of ODDO BHF.
Markus Remis: I would like to start with the Fit-for-Future program. If you could outline the incremental cost reduction measures that you have in mind, which areas you have specifically targeted where you see the untapped potential given that, yes, cost cutting has been the name of the game for a couple of quarters now. And yes, I would also appreciate if you're willing to indicate kind of the earnings impact that you expect from these measures?
Peter Oswald: So it might take a bit longer to answer that. So Fit-for-Future is now a new cost reduction or profit improvement program. We started with this program one year ago in Kwidzyn with an external consultant. And I was personally extremely surprised almost how well it worked. So it's basically nothing peculiar that the difference is maybe that it's really only focused on sustainable cost reductions. So it's not the normal cost reductions you get just from declining input prices, et cetera. And this project was very successful. It meaningfully contributed already in '24 to the results of this mill. And we started then already, some months ago, a rollout in 2 other mills, now in a fourth mill. Now we -- it's in the headquarter and central group services -- divisional services. And basically, it will be rolled out throughout the group. It's -- I know it's always very difficult to assess the impact, but we had a meaningful 2-digit million impact in '24. And at the end of the day, it has to be a 3-digit number, which we might get, let's say, next year.
Markus Remis: 3-digit million savings accumulated in '24, '25, '26...
Peter Oswald: No, no, not accumulated per annum. But we ramp it up because -- I mean, once you implement the measures, so to say, your running rate improves, and then depending if the running rate starts in January, then you have to benefit the whole year. If it starts in September, then obviously, it takes another year or 12 months to be fully in the numbers. So it will be a meaningful contribution, and it comprises everything from a different technical solution with also sometimes with short-term payback projects to better procurement, fixed cost savings of all sorts. So step by step, we are moving forward in a highly structured process where we work partly with external consultants, partly with our in-house transformation.
Markus Remis: Did I get it right that it started in the Board and Paper segment and the findings are now also applied to the Packaging divisions. Is that what you say?
Peter Oswald: Yes, exactly. Yes.
Markus Remis: Okay. And then you mentioned continued structural optimization. I mean this is something that the group has been doing for quite some time. Should we take this term as a kind of prolongation of what we've seen in the past that you might take out capacities here or there, kind of close smaller plants? Or does that also entail bigger restructuring measures?
Peter Oswald: Yes. It depends on what bigger means, but I would say like taking out smaller plants. And I think we have started now with one process in France and further up to come. So at the end, it's really about our real commitment to stay only with well-invested, strong assets. And some of them can be improved. And in some cases, unfortunately, we also have to -- it will be too expensive, take too long or it's simply impossible from the setup of [indiscernible] plant.
Markus Remis: Okay. Then I would have 2 financial questions. Firstly, regarding factoring. And remembering 1 year ago, we had a major cash flow surprise because you've massively stepped up factoring. I think it was EUR 267 million last year. Can you give us the year-end '24 figure, please?
Franz Hiesinger: It was -- net position was slightly below EUR 400 million, so around EUR 380 million.
Markus Remis: EUR 380 million? Okay...
Franz Hiesinger: EUR 380 million.
Markus Remis: EUR 380 million? Okay. Again, quite a such increase. Is that a rate that you feel comfortable with going forward? Or do you still see kind of the potential to further increase the factoring level?
Franz Hiesinger: No, it is on a stable level. It will be a little bit reduced due to the disposal of TANN Group. But otherwise, we expect that it will be fairly in line on this level.
Markus Remis: Okay. Then a question related to the buyback. You've limited the upper threshold to, if I'm not mistaken, EUR 83, which I guess at the current stage limits your ability to buyback. Is there any reason for this threshold? And do you consider kind of an increase of the level as an optionality?
Peter Oswald: Yes. I mean we -- so first of all, at least according to the Austrian law, we have to give a range, which is always very strange because you also have to be a minimum number and a maximum number, which is published. And yes, we have to discuss in the Management Board together with the Supervisory Board, whether we change it. But for the time being, it's a longer-term program. It was a reasonable amount when we published, when we were at the level of even below EUR 70. And now we have to consider is the money wisely spent to increase this number? Or should we rather use it, so to say, the free cash flow to reduce net debt or make capital expenditure. So it's open.
Markus Remis: Okay. And then related to packaging and the margin outlook in 2025, you've indicated that price increases in Board and Paper are coming through. How should we think about the impact on the Packaging segment, considering that order intake is flat, which suggests a rather muted demand development. Is there a margin pressure to be expected from price costs narrowing?
Peter Oswald: Yes. I think as it looks now, the price increases were -- on the Board and Paper side were limited. and we will see how much -- and they should be reflected in the UV and also in the PPI index numbers, which is again an important reference point for a number of larger contracts we have on the packaging side. like with WLC, as our competitors, have not followed our price increase, we will see what the actual mix is. So there is some increase reported, but it's lower than on our side. And this is easy to pass on to customers. So by and large, I would expect that without making a forecast, but that margins are -- will be rather flattish. Flattish, meaning now there are some price increases which have in Board and Paper, can be passed on, but also not more.
Markus Remis: Okay. Very clear. And then a clarification coming back to the Q4 development in Board and Paper. So this EUR 12 million of positive EBIT when you gave the guidance of a positive development in the -- upon the Q3 release, was that already including this inflation from the CO2 compensation? Or was it like Board and Paper being a bit more on the weaker side compared to initial expectations? Because if I'm understanding correctly the underlying EBIT, excluding CO2, would be slightly negative. Is that correct?
Peter Oswald: No. No, that would not be correct, but the number would be lower. And I think this is where we stand. So it’s – we – what – let’s say, what you can’t expect is that we have a big increase. The rest will really depend on the overall development also of our costs. So obviously, the fact that we could – that our competition did not follow in the WLC market with our price increase, obviously puts – so to say, has reduced the outlook for much improvement.
Operator: The next question is from Cole Hathorn of Jefferies.
Cole Hathorn: I'd just like to follow up on the Pharma and Healthcare markets. Are you seeing any kind of green shoots from the customers on order books and improving demand there? Because we've seen destocking from that segment for a while now and some of the flexible plastic packaging players like Amcor are talking about kind of a stabilization there, small improvement. I'm just wondering what you're seeing at Mayr-Melnhof?
Peter Oswald: Yes. Cole, what we see at the moment, not so many green shoots, as you call them. So it's a rather flattish development. However, there is no doubt that the GLP-1 so this slimming product will finally get momentum. And therefore, we know that this will entail growth, and we will overproportionately participate in that growth. Unfortunately, the real big movements are out to -- because the capacities are still under construction. So this development will help us more than in '26 and mainly '27. Otherwise, in the rest of the market, it's rather flat.
Cole Hathorn: And then I would just like to understand how you're focusing on your mill system at the moment on the board side. And I'd like to look at the recycled cartonboard, the WLC and the FBB side. Am I right in thinking that in the WLC side, you're trying to invest energy reduction, move down the cost curve and try and be cost position advantage, while everyone else has got elevated debt levels and not able to invest in your mill system? Are you effectively going for lower cost production, as the only way to survive in WLC at the moment? Is that the key focus for you and energy investments?
Peter Oswald: Yes. I think our strategy so far has been we have made 2 closures. One was already a couple of years ago in Austria, a smaller mill. One was a small machine in our Slovenian operation in Kolicevo. So we have done, so to say, the first step to take out those assets where we, the fact to, couldn't see that they would be come close to any cost leadership in the market. Now we have a good network with good products. We have, due to the rebates, also still some one-off costs, which we have to carry, but that gets better and better. And now we have to further bring our costs down. Also, there are many ideas. Also some products are over-specified in terms so much better than the competition, but we don't get the respective premium. And the focus is absolutely, as you say, it's mainly on energy costs, but also on fiber costs, personnel costs. So we have to really to take -- I don't know if this exists in English, but we have to take every penny around and look at it from every site and reduce the costs, and that will finally makes us, so to say, the -- will finally lead to improved profitability.
Cole Hathorn: And then I don't know if this is the right way to think about it, but you do have an advantage being forward integrated into your converting side of the business. Is there any way to -- well, any opportunities for you to further optimize your logistics and better utilize your mill operating rates by prioritizing your products for your converting assets? I know it works differently versus the containerboard market, but I'm just wondering if there's any opportunities to improve the utilization of your mills and prioritize your board volumes into your converting assets?
Peter Oswald: Yes. In WLC, we are already very highly integrated. Maybe the numbers don't look like that, but we're obviously also converting operations in Chile or Colombia, which are not integrated. Otherwise, it's integrated to a very high degree. In FBB, there is still more to do, and we will, of course, do that. So there is more to come.
Cole Hathorn: And then maybe shifting to the FBB side. What is the focus there for ensuring cost competitiveness in a market where Stora Enso is adding new supply, I suppose you're getting Metsa Board taking out some supply, but it's still challenged. So I'm just trying to understand the cost positioning of someone like your Polish mill, which has probably got lower wood cost versus your Finnish mill. So just understanding the focus there for the business.
Peter Oswald: Yes. So as you said, our Polish mill does have cost advantages, not so much maybe in wood -- also maybe some in wood, but it's mainly logistic costs and personnel costs. So I think this mill is very well placed, but has the disadvantage also to be in the graphic segment with uncoated fine paper, which will move now gradually to packaging paper. But that's overall a very competitive mill. And as I said before, we have the opportunity there to take a lot of costs out. In Finland, it's after the start-up of the new machine, the second biggest machine, FBB machine in the Nordics and overall in Europe, the third biggest. So it's a very -- it's a big sizable machine with a lot of capabilities and newest technology. So -- but otherwise, let's say, in terms of wood costs, et cetera, we are at the same boat as other Finnish players. And then we produce also some in Kolicevo, where we -- where it's more focused on niche products, but the proximity to some customers in Southern Europe is again an advantage. But overall, despite all that, yes, as you say, there is overcapacity in the industry, which will increase, and we will see what consequences will be taken also by our competition.
Cole Hathorn: I mean, hopefully, we get some capacity rationalization from the peers, but in the interim before then, is there any commentary that you can give on how you're thinking about potential U.S. tariffs and how that might impact the European market, both in WLC and folding boxboard?
Peter Oswald: Yes. So our exposure to the U.S. is fairly limited, even though it's also for us a strong growing market, but from a small base. Our main competitors are very strongly exposed to the U.S. So the positive scenario is that there are more import duties in the U.S. for products from China, which might be on the margin helpful because then continuing to export and even increasing exports to the U.S. is a good business, if we get tariffs on European imports that would have very negative repercussions for the industry because the U.S. is a very important market for some players, and they will then have to redirect these volumes to Europe because the rest of the world, so to say, is also a difficult place because of the Chinese.
Cole Hathorn: Good. And then the final question is on Russia-Ukraine potential peace discussions. How could that impact your business from -- firstly, from a wood cost dynamic? And then secondly, if the market did open up, would the Russian market ever be open again to folding cartonboard, do you think?
Peter Oswald: Yes. So a peace and a Finnish of -- if the situation normalizes again and we could import and export, it would be very positive for the wood market in Finland. So especially Kotka, which is less than 100 kilometers away from the Russian border, it would be a definite strong advantage. Also from an energy perspective, it would be an advantage. The markets themselves because Russia has started the Kama mill shortly after the -- or shortly before the Ukrainian war started. The market opportunities, I'm not so sure how big they would be, but definitely, there would be some opportunities. And our group was especially high exposed to Russia. So we lost a very significant volume there.
Cole Hathorn: Understood. And then just on the Poland wood markets, would you get kind of Belarusian wood coming back that might support you and improve Kwidzyn mill as well?
Peter Oswald: Yes. And opening would also be highly beneficial for Poland.
Operator: The next question is from Saul Casadio.
Saul Casadio: So I want to go back to your comments about doing whatever it takes to improve profitability. And also in your outlook, you talked about structural optimization measures and you singled out overcapacity in FBB and WLC. So wondering whether at this stage, you can offer more specific plans in terms of how you're planning to optimize your footprint and in which grades?
Peter Oswald: Yes. I've already alluded to this with another question. We think that our footprint is very competitive. So when we say it's -- we will do whatever it takes, of course, it could -- it would, if it made sense, also -- it could also mean that we close a cartonboard mill. if necessary. I just don't see from a competitive point of view that this would lead to anything because logically, those on the higher side of the cost curve, have to do something before, and this is not out of -- yes, it would be just economically not justifiable. So at the moment, this is -- so to say, is not an option, but if markets everything changed, we don't exclude anything because in this market environment, it's really important that we return to a much higher profitability or to a very clear profitability, one has to say, for board and paper. But a closure of one of our mills is something I can't see today.
Saul Casadio: Okay. So when you mentioned in your outlook structure optimization measures, this is not something table today, but it's just for packaging? Okay. Understand. Okay...
Peter Oswald: Packaging -- as I said, we are in the process now of closing a smaller mill -- sorry, not machine -- plant in France. And we are investigating some other possibilities. It can also be a downsizing of a plant. And the importance of the message should be that we do not shy away, so to say, also from tougher questions because the industry has overcapacity. And so you really have to look at all your assets and bet on those which can long-term survive and not spend useless money in supporting those who, at the end of the day, will have very limited chances to supply. And that's just our strategy, which seems to be unfortunately very special in this industry.
Saul Casadio: Okay. And you mentioned your capacity utilization is around 90%. I was wondering whether you could split that between WC and FBB if that's...
Peter Oswald: It’s pretty similar.
Operator: Next question is from Xavier Vandoorne of Homeport Family Services.
Xavier Vandoorne: In your press release, you're talking about highly competitive asset base. We talked a bit already about it, but can you explain a bit more as, yes, margins are not following the volume recovery in Board and Paper. And why do you think you're better positioned than the competitors? I don't know if they have some other advantages also as cheaper electricity prices or some other things? And why would you think that margins would recover? And to what level would you be happy at the moment in the next few years?
Peter Oswald: Yes. Look, we have a number of benchmarking studies, which are available from service providers, then we can, in some very rare cases, compare our performance with competitors, for instance, because they are listed. And all that indicates or we see also from acquisition targets what -- examples, so to say, where the competition is and obviously also people move from us to competitors and the other way around. So overall, we feel that we -- if we start with packaging, have a culture which is very operationally driven. That has always been a high mark of our group. And when we've acquired now Essentra Packaging, we have found operational numbers to be weaker by a factor of 2% or 3%, so not just 10%, but really weaker. Equally, we see how difficult it is then to bring this up because it's linked to investments, it's liked to infrastructure, it's linked to people and what they are used to do, et cetera, et cetera, and the whole organization to work efficiently. But we think from all what our comparisons tell us that there we are -- on the packaging side, so our traditional legacy food and premium packaging is really -- it's highly, highly efficient. And we see now in pharma, where we practically 80% has been acquired or more than 80% has been acquired that we are on a very good way to do it. And in Board and Paper, we also do some benchmarking. We are taking costs out like energy, et cetera, where we dramatically reduce energy consumption. So we will see then from our annual report. We've not just reduced CO2, but energy consumption per se also on a per tonne basis. And this follows just a different -- sometimes just a different organization, sometimes minor investments. In some cases, we also need some bigger investments, which we will do. And so overall, we feel we are in a good space, and we have the spirit to be here at the top. Of course, there are other very good competitors or the individual plants or mills, which might also be better than we are over. Was this answer satisfactory for you?
Xavier Vandoorne: Yes. Thank you.
Operator: So as there are no questions in the queue, I'm handing the floor back over to the host.
Stephan Sweerts-Sporck: So I think we have had a number of questions covering a broad range of areas. And thank you, Peter, for your in-depth answers. Thank you for participating and your interest in the company. Just for you as information, our annual report will be published on the 9th of April, Q1 results on the 29th of April. And with this information, we – well, we have 2 more questions pending, I think. We see that. The moderator can take the questions before we will come to close.
Operator: Yes. Perfect. There are 2 follow-ups. The first one is from Mark Watts of Citi.
Mark Watts: Sorry for the later questions. So the first one was just on the CO2 credit impact. Do you mind just elaborating, is that a rebate that all peers would receive in the WLC cartonboard side? Or is that specific to you? And the second question was just on the margins and when we're talking about the raw materials again on the WLC, what are you seeing on the OCC side and the input costs? Because we have been hearing across industry that maybe on the containerboard that there will be demand -- increased demand on that side. So do you think that's going to have an impact on the input prices going forward in terms of it potentially going higher? Or what's your view there? Or what are you seeing so far?
Peter Oswald: Yes. Thank you. So let's start with the second part. I mean, to predict paper for recycling is obviously always very difficult. I mean we have seen overall strong increases, which we could not pass on in the market different to the corrugated packaging -- corrugated board market. Now we've seen them softening a bit. I would also tend more to see the upward trend than a further downward trend. But yes, it's always very, very difficult to predict it. And of course, if they move up, the question comes back, yes, can we increase prices and pass these costs on. The first question you asked is, I mean, we have in every country, different regimes. So it's nothing special what we get, but they are also very different. So Germany, Poland, Finland and Slovenia for us and Austria are the relevant markets, and they have all sorts of different CO2 energy. I mean, maybe subsidized is the wrong way, but they have -- yes, they are subsidized in one way or another with caps or refunding or if you use the network. So it's a very complex thing, but we didn't get anything -- that's your question, anything special, but we just run in the normal schemes of these countries. And -- Yes, and it's complex to follow up on the rules and on the prerequisites one has to get them. And so to say, we were now -- we got last year more than we got in '23.
Mark Watts: Got it. Okay. So I guess, directionally, probably a little bit less expected for '25, if at all, versus '24 given overall energy, trending down? Okay.
Peter Oswald: Yes, that's correct. Yes.
Mark Watts: And sorry, the final question, could I just clarify when you answered my question earlier about cost prices from competitors. Was it a case that they had imposed those and they hadn't stuck with customers? Or you've just been hearing they haven't actually increased prices? I just wanted to clarify.
Peter Oswald: Yes. What we hear from customers is that they – let’s call it this way, in the majority of cases, which we learn about and it’s only a certain sample of everything, they have announced it but not followed through on it. So at the end of the day, if they could get a bit more volume, they rather took the volume than the higher price.
Operator: The next question is a follow-up from Cole Hathorn again.
Cole Hathorn: I'd just like to ask on the long-term demand trends for cartonboard and your longer-term views on the export market. Am I right in thinking that the export market will probably continue to remain quite challenged just considering competition from Asia, et cetera. But on the domestic European market, we're still well below what I would consider trend line demand, be it from more discount retailers using more plastic or various different items from a consumption perspective. But I'm just wondering what could be the green shoots to demand? What do you think could ultimately bring us back towards the trend European demand? Or are we not going back to kind of a trend level?
Peter Oswald: Yes. My opinion is we’re not going back to a trend level. And I would see a growth of 1% to 2%. So to make a bit more detailed, we have a rather demographic flat development. We see the growth rates of main customers, which are fast-moving consumer goods companies, pharma companies, et cetera. There is an intact trend, which is replacing plastic with cartonboard, which is positive. However, I believe that many market participants far overstate the practical effect. We do not talk about huge volumes. So there’s always what can be – there are also a lot of studies and a lot of marketing talk about what could, in theory, be replaced and these are fantastically high numbers, but we just have to acknowledge the plastic is cheaper. The European Union has failed. They have introduced the plastic tax, but it’s paid by everyone instead of by those who bring the plastic into usage in Europe. So this is simply a wrong policy, but it is what it is for the time being. And so as people – there will always be a certain pressure to – yes, just to – people have limited money, so to say, which they want to spend. So with all – whilst they might be, in theory, very enthusiastic about moving to cartonboard products, maybe if they are in the shop, they forget about it and take the cheaper product, which is packed in plastic. And therefore, the substitution of plastic to board is happening, but it’s not happening for the time being as fast. Of course, if the economy improves and people are more willing to spend again, which is a cyclical effect, this will become better. But I think to believe in growth rates of 4%, 5%, 6% is something I wouldn’t put my money behind. And for exports, I see the U.S. market generally. So the world market, Middle East, Africa will be difficult because of the Chinese. The U.S. is an attractive market unless Mr. Trump changes this from one day to another. Otherwise, I can see that the product, which we sell to the U.S. is a superior product, and it’s well received by customers, and there is some growth opportunities definitely in this market replacing SPS.
Operator: Then another follow-up from Markus Remis, ODDO BHF.
Markus Remis: Just one clarification, this Fit-for-Future cost-cutting program. Does that trigger any charges of meaningful size? Or will it go rather unnoticed?
Peter Oswald: In this way, it's rather unnoticed, and I don't -- sorry, also to say this because also for our internal communication, it's important. It's not -- I wouldn't necessarily call it a cost-cutting program. It's really thinking out-of-the-box, our philosophy of think next. So what can we do in a smarter way? This can be in-sourcing, outsourcing. This can be normal cost cutting, but it can also be less -- it's -- there are also projects how to increase sales, how to cover special niches. So it goes well beyond -- first, we had this, what we call, the cash protection program -- cash and profit protection program. That was really about putting a break on cash outflow and lowering costs just where you can. Now it's a bit more the sophisticated forward-looking out-of-the-box thinking, so to say, project by project, developing ideas, screening them and finally then putting them into practice and doing it, but there are no -- with this project, generally no bigger implementation costs involved, except for some projects, but it's not major -- these are not major costs.
Markus Remis: Okay. And then a bookkeeping question for Mr. Hiesinger. You indicated a standard tax rate of 19%. Is that to be understood as the kind of the P&L effective tax rate going forward?
Franz Hiesinger: Yes. In average, we had a tax rate of 3.4%, which consisted of an ongoing tax rate of 19% in this year, also fairly low. And that was compensated by tax asset, which we have capitalized of the tax loss carried forward of some of our Essentra plants, especially in U.K. and U.S.
Peter Oswald: Yes. So to make it clear, so when we bought Essentra with a number of loss carryforwards, which we ignored because the business was breakeven or in some cases, loss-making. Now we've achieved the turnaround. So we make profit. And so the loss carryforwards have become valuable, let's call it this way. Valuable. So it's a onetime effect. There's nothing that we have moved to another jurisdiction or anything like this. So we decently pay our taxes, but we assume now that we can use a lot of our loss carryforwards from the Essentra business -- ex-Essentra packaging business.
Markus Remis: Right. And that will bring the P&L effective tax rate down from the rather 25% that was kind of the benchmark in the past to 19% on a more sustainable level, on a more...
Franz Hiesinger: No, no. In 2024, we had 3.4% on a total average, taking into account our ongoing tax rate of 19% plus tax asset. And going forward, it will be slightly above 20%.
Operator: So as there are no more questions coming in right now, I am finally handing over the floor back to you.
Peter Oswald: Yes. So if I may pick it up, so Stephan already said his goodbye, and we are running over time so just summing up, we believe that despite this difficult market circumstances, given our competitive asset base, a strong management team, winning spirit and a solid financing, we are very well positioned to successfully navigate the challenging market situation in '25. And we believe in the long-term financial and strategic value of our sustainable and innovative packaging. Thank you.